Operator: Good morning everyone and welcome to Portland General Electric Company's fourth quarter and full year 2011 earnings results conference call. Today is Friday, February 24, 2011. This call is being recorded and as such, all lines have been placed on mute to prevent any background noise. (Operator Instructions) For opening remarks, I would like to turn the conference call over to Portland General Electric's Director of Investor Relations, Mr. Bill Valach. Please go ahead, sir.
Bill Valach: Thank you, Ann and good morning everyone. I'm pleased that you're able to join us today. Before we begin our discussion this morning, I'd like to make our customary statements regarding Portland General Electric's written and oral disclosures and commentary. There will be statements in this call that are not based on historical facts and as such, constitute forward-looking statements under current law. These statements are subject to factors that may cause actual results to differ materially from the forward-looking statements made today. For a description of some of the factors that may occur that could cause such differences, the company requests that you read our most recent form 10-K and Form 10-Qs, and the form 10-K for 2011 is available on our website at portlandgeneral.com. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. And this safe harbor statement should be incorporated as part of any transcript of this call. Portland General Electric's fourth quarter and year-end earnings were released before the market opened today, and the release is available at our website, portlandgeneral.com. Leading our discussion today are Jim Piro, President and CEO; and Maria Pope, Senior Vice President of Finance, CFO and Treasurer. Jim will begin today's presentation by providing the general overview of the year's results and our strategic capital projects. Then, Maria will provide more detail around the quarterly and annual results and key regulatory proceedings. Following those prepared remarks, we will open the lines up for your questions. And with that, it's a pleasure to turn the call over to Jim.
Jim Piro: Thank you, Bill. Good morning and thank you for joining us. Welcome to Portland General Electric's 2011 fourth quarter and year-end earnings call. I'm very proud of our accomplishments in 2011. We effectively managed our power supply operations, taking advantage of positive regional hydro conditions, successfully upgraded our Boardman and Coyote Springs thermal plants, received final regulatory approval of our Boardman 2020 plan, saw the repeal of Senate Bill 408, and with the constructive outcome of our 2011 general rate case, we delivered a competitive return to our shareholders. Operating performance was also strong during 2011, with our Transmission and Distribution system performing well, good generation plant availability and high levels of customer satisfaction. This reflects our ongoing focus on operational excellence and strong customer service. On today's call, I'll summarize our financial performance, initiate 2012 earnings guidance, and update you on Oregon's economy. Then I'll discuss the progress we're making on our strategic initiatives. Following my remarks, Maria will discuss fourth quarter and annual results, several regulatory items, financing and on liquidity, and end with our outlook for 2012. So let's begin. PGE's net income for fourth quarter 2011 was $29 million or $0.38 per diluted share, compared with $25 million or $0.34 per diluted share for the fourth quarter 2010. Net income for 2011 was $147 million or $1.95 per diluted share, compared with $125 million or $1.66 per diluted share for 2010. For 2012, PGE is initiating full-year earnings guidance of $1.85 to $2 per diluted share. 2012 guidance assumes hydro, wind and plan operations, consistent with the estimate in the Annual Power Cost Update tariff, as well as a relatively flat operating cost. Also included in guidance is load growth between 1% and 1.5% over weather-adjusted 2011 loads, excluding the loads of two large paper manufacturers. Now, let's move on to the economic outlook in our operating area. We continue to experience customer growth, and we're pleased to see a decline in Oregon's unemployment rate, which fell nearly 2% from 2010 to 8.9% at the end of 2011. Job growth in Oregon was faster than the national average in 2011; 1.6% for total non-fund jobs, compared with 1.4% nationally; and 2.3% for the private sector, compared with 1.9% nationally, as Oregon continues to be an attractive location for technology, manufacturing and other industries. With continued in-migration and increased employment activity, total retail energy deliveries on a weather-adjusted basis increased approximately 1.4% in 2011 compared with 2010. Excluding the loads of two large paper companies, weather-adjusted retail energy deliveries for 2011 were approximately 0.5% above 2010 levels. Both of these percentages include the effects of energy efficiency measures, which reduced load growth by approximately 0.5% between 2010 and 2011. IHS Global Insight expects an improvement in the U.S. economy in 2012. And in Oregon, we expect to follow that trend. We are monitoring all industrial sectors in our operating area to understand the economic factors impacting their businesses. Now, I'll give you an update on our strategic initiatives, starting with operational excellence. We continue to deliver excellent operating performance company-wide. Our overall customer satisfaction ratings remain strong in 2011. We ranked in the top decile for general business customers, third in the nation among large, key customers, and in the top quartile for residential customers. In addition, our system operated extremely well. Our distribution reliability metrics remained strong, and generation plant availability was high. We also made good progress in meeting Oregon's renewable energy standard. In 2011, qualifying renewables supplied approximately 10% of our load requirements, double the 5% requirement for the year. Moving forward, we will continue making improvements focused on streamlining our operations by leveraging technology and refining work processes. Our goal is to reduce the cost of service we provide to our customers, while maintaining high levels of customer satisfaction. Now, let me update you on our progress in executing our IRP action plan. Our 2009 IRP action plan was acknowledged in November 2010, and we filed an informational update in November 2011. This update outlined changes in the external environment and updated our load forecast, our natural gas forecast, and the cost of new resources. It also provided a progress report on the implementation of our action plans, including the Boardman emission control upgrades, Cascade Crossing Transmission Project, and the RFPs for new generation projects. The updated plan supports the company's need for additional energy, capacity and renewable resources as outlined in the 2009 IRP action plan. Last month we filed a draft, combined energy and capacity RFP with the OPUC, the combined RFP allows self-build benchmark proposals, and offers bidders the option to build on PGE's benchmark sites with two conditions. First, the plant would be built to PGE specification; and second, given permitting and land issues, the plant would be owned and operated by PGE. We expect the capacity in energy RFP process to be completed in late 2012 or early 2013. We are still in the process of completing a draft of the renewable RFP, which we plan to file later this year. Now, let me provide you an update on Boardman. Last year, we successfully installed two emission control systems at our Boardman plant. The low-NOX burners reduced nitrogen oxide emissions by 50%, and the mercury controls meet Oregon's stringent standard for mercury emissions. In December, the EPA issued its MACT rule, and based on our full-scale testing results, the plant should be in compliance with the rules once all the controls are installed. We are moving forward with the installation of the drive turbine injection system to go into service in 2014 to control sulfur dioxide. In regard to our Cascade Crossing Transmission Project, PGE and Bonneville Power Administration have established a framework for definitive agreements that would allow the project to move forward. We are on track to file a preliminary application for site certification with the Oregon Department of Energy within the quarter. System planning and environmental studies, along with preliminary design engineering are all moving forward. We expect to receive permits in 2014, and the in-service date for this project is expected to be late 2016 or early 2017. Now, I'd like to turn the call over to Maria Pope, our Chief Financial Officer, to discuss our financial and operating results in greater detail.
Maria Pope: Thank you, Jim. Today, I'll cover results for both the quarter and the year, provide an update on key regulatory items, discuss liquidity and financing, and conclude with our outlook for 2012. As Jim noted, net income for 2012 was $147 million or $1.95 per diluted share, compared with $125 million or $1.66 per diluted share for 2010. Operating results for the full year were positively impacted by increased sales due to cooler weather and strong power supply operations driven by favorable hydro conditions. Higher loads contributed $0.7 per share and strong power supply operations added approximately $0.13 per share net of the power cost adjustment mechanism or PCAM refund. These gains were partially offset by several items outside of the PCAM, which totaled $12 million on a pre-tax basis reducing earnings per share by $0.10. These items which were approximately $3 million each included an expense related to the order on our 2012 Annual Power Cost Update Tariff, lower than expected investment returns on our non-qualified benefit plan trust assets, increased employee compensation, and benefit expense and several other items. Now, I'd like to provide further detail on energy deliveries and retail revenues. First, for the fourth quarter and then for the year. For the fourth quarter 2011 total retail energy deliveries were unchanged from the fourth quarter of 2010 both on an actual and weather adjusted basis. Excluding cooler temperatures, energy deliveries to our residential customers increased 0.7%, commercial deliveries were unchanged and industrial deliveries excluding paper manufacturers decreased 1%. Fourth quarter 2011 retail revenue increased 7%. This was primarily due to a $24 million increase in average retail prices and a $10 million increase related to several regulatory items including the reversal of a collection in the fourth quarter of 2010 under SB 408. Oregon has now repealed utility tax laws. For full year, retail energy deliveries increased 3% over 2010, on a weather adjusted basis, load growth was 0.5% excluding two large paper manufacturers. Energy deliveries to our residential customers increased 0.2%, commercial deliveries increase 0.4% and industrial deliveries increased 0.7%. For the full year, retail revenues increased $58 million or 3% from 2010 due to higher total retail energy deliveries and an increase in average retail prices of 4%. Now, I'll move on to power cost. For the fourth quarter 2011, purchased power and fuel expense was flat over the fourth quarter 2010. For the full year, purchased power and fuel expense decreased $69 million year-over-year due to a 9% decrease in average variable power cost. Hydro conditions in the Northwest were above normal in 2011. Energy received from PGE-owned and contracted hydro resources was approximately 13% above normal for the year. Energy from these projects also increased 14% in 2011 compared to 2010, providing approximately 25% of the company's retail load requirement for the year. Energy from the Biglow Canyon Wind Farm increased 46% year-over-year, primarily due to the completion of phase III in August, 2010. Biglow Canyon provided 6% of our retail load in 2011 compared with 4% in 2010. However, wind generation was below projected levels, which was offset by favorable hydro conditions and low cost purchased power. With abundant hydro conditions in the Northwest, wholesale market prices were low, enabling PGE to economically displace a significant amount of our thermal generation with wholesale power purchases. As a result, thermal generation which operated at 93% availability supplies 29% of the retail load in 2011 compared with 44% in 2010. For 2011, the PCAM deadband range was $15 million below to $30 million above the baseline for net variable power cost. PGE refunds or collects 90% of power cot outside of this range subject to a regulated ROE earnings threshold. Total net variable power cost was $34 million below the baseline in 2011 resulting in a potential customer refund of $17 million. However, the regulated earnings threshold of 11% reduces refund to $10 million. In 2010 actual net variable power costs were $12 million below the baseline and within the lower deadband range. So no refund or collections was recorded. Now I'll cover decoupling and expenses for 2011. As PGE's weather adjusted loads were very close to levels forecast in the 2011 General Rate Case, only a small refund was recorded for the year under the decoupling mechanism. Overall, operations and maintenance expense in 2011 increased by 16% over 2010 and was in line with levels forecasted in the 2011 General Rate Case. The primary areas of increase include production OEM expense for the Boardman and Coyote Spring's upgrades, information technology expense as we replace aging systems and distribution expense related to ensuring safety and reliability. PGE's effective tax rate for 2011 was approximately 28% compared with 30% for 2010. Now, on to financing and liquidity. We continue to be active in the wholesale marketplace entering into forward contracts for natural gas and power to mitigate commodity price volatility for our customers. As of December 31, we posted approximately $184 million in collateral wholesale counterparties which consisted of $80 million in cash and $104 million in letters of credit. As contracts settle and if market prices remain unchanged, we anticipate that two-thirds or approximately $120 million of collateral will roll off by the end of 2012 with another $45 million rolling off in 2013. We now have $670 million in revolving lines of credit, an increase since the third quarter as a new $300 million five-year revolver was completed in the fourth quarter. Total available credit at the end of the year was $516 million. In December, we redeemed $63 million of first mortgage bonds, which brought our equity ratio to 49%, very close to our target capital structure of 50% debt and 50% equity. Now, I'll discuss our outlook for 2012. As Jim discussed we are initiating earnings guidance of $1.85 to $2 per share. This guidance for 2012 is based on a load forecast of 1% to 1.5% over 2011 weather adjusted results, excluding the loads of two large paper manufacturers. Our load forecast assumes growth of approximately 0.5% for residential customers and 1% to 1.5% for commercial customers. Key assumptions include Oregon employment growth of about a percent, modest population growth and some improvement in overall economic conditions. Industrial customer demand is forecast to grow approximately 3% driven by hi-tech companies and their suppliers' growth and expansion plans. In particular, Intel's new large fab, D1X is expected to come online late this year and ramp production over the next several years. We also expect growth from new data centers and other industrial customers expanding their operations. Our guidance assumes normal plant operations in addition to hydro and wind conditions consistent with levels forecast in our 2012 Annual Power Cost Update Tariff. Given our focus on company-wide cost reductions, operating and maintenance expense is expected to remain relatively flat, which includes an increase in pension expense. 2012 pension expense is expected to be $13 million, compared with $5 million for 2011 and included investment prices. Our 2012 guidance also includes a deferral of approximately $17 million related to four capital projects totaling approximately $100 million. These projects are not yet in rate base as they were not completed at the time of our last rate case. The cost associated with these projects can be deferred when our regulated ROE is 10% or below. In 2012, we expect capital expenditures to be approximately $330 million, this forecast does not include projections for the construction of capacity, energy or renewable projection -- projects as RFP processes are ongoing. As such no new debt or equity issuances are currently projected for 2012. In closing, we continue to focus on financial objectives that support our core utility business and growth initiatives including improving ROE and earnings performance and maintaining adequate, liquidity and strong balance sheet to support our investment grade credit ratings. Jim?
Jim Piro: Thank you, Maria. Our fourth quarter and full-year 2011 performance reflects our continued focus on operational excellence, high customer satisfaction and delivering a competitive return for our shareholders. As we move forward with the implementation of our IRP action plan, we will continue to position the company for future investment opportunities that deliver value to our customers and our shareholders. Operator, we'd now like to open the call for questions.
Operator: Thank you very much. (Operator Instructions) We will take our first question from Neil Mehta with Goldman Sachs.
Neil S. Mehta – Goldman Sachs Group, Inc.: Good morning, Jim. Good morning, Maria.
Jim Piro: Good morning, Neil.
Neil S. Mehta – Goldman Sachs Group, Inc.: Can you talk us through RFP timelines for gas and wind, when are the next major milestones and when can we expect that final outcome?
Jim Piro: Okay, let me take you through kind of generally the schedule. We did not have a pre-hearing conference yet to tie down the schedule precisely. So we don't have exact dates. But we did file the draft RFP with the OPUC on January 25 of this year. We are now working on a schedule. Our plan generally is that the OPUC would render a decision in about -- in June of this year, at which point we would start the RFP. The hope would be we would identify the final shortlist by the end of this year and complete negotiations depending on the outcome of the bids early next year. So that's the general schedule we have in place. It's been filed, we're getting comments back. At this point, we got to get a schedule tied down. So things are progressing nicely. I think we've responded to many of the questions the Commission raised on our capacity RFP. So hopefully this process will go relatively smoothly.
Neil S. Mehta – Goldman Sachs Group, Inc.: Got it. And then timing around the next rate case filing, is the plan still to go in 2013 for 2014 implementation with more of an O&M type of case and then tackle more of a capital rate based case later?
Jim Piro: We're still looking at the data. Obviously, it's dependent on load growth. But we do have a pretty significant capital project going in during 2014, that's our dry sorbent injection system and that will go into service probably mid in 2014 and with a fair amount of chemicals that will have to go in and be included. So we are looking at 2014 as a likely rate case, but we're looking at options that we could investigate to work around that to deal with some single issue. So right now, we're tending to focus on 2014. We would file in early February or late February of 2013 if we go forward with that. So, we continue to look at the numbers, a lot of it will depend on load growth and whether we can address some of the single issues we have that are causing some challenges.
Neil S. Mehta – Goldman Sachs Group, Inc.: Thanks. And then my last question is on load growth, I guess demand forecast a bit lighter than the long-term 1.7% or 1.9% you've talked about historically for next year. Can you talk about sort of probably what's driving the delta and whether you think the 2012 run rate is the right long-term run rate?
Jim Piro: I'll have Maria address this in more detail, but as I look at it, the big challenge for us is we really haven't seen much in the residential sector. Starts are down, new connects are down, that's been where it's been soft even though we are seeing continued in-migration. We're starting to see some construction in the multi-family space as rental vacancy rates are at historic lows here. And so, we are starting to see a number of developers being interested in development of multi-family. The foreclosures are starting to work through the market and that will, I think, will eventually un-cease the residential market. And so I think, we're starting to come out of this slowdown and it will be driven by our commercial customers and their growth that we see out there. Maria, do you want to add anything more to that.
Maria Pope: Sure. For the past quarter we saw a slight downturn in smaller industrial customers, but for the year we were just over 1% growth in the industrial area. And as Jim mentioned, the commercial and residential areas for 2011 lagged 0.2% and 0.4% growth respectively much of that was still due to the economy. For the coming year, we're expecting slightly higher residential growth, but a particular pickup in the commercial area as we're seeing increased signs of employment in Oregon. Last year, Oregon had some of the highest growth in employment across the country, In fact, I think we were second, and we expect to have probably about a 1% growth forecast for employment which would directly impact this commercial area. A big swing for 2012 actually is in the industrial area where we're forecasting about 3%. As we mentioned there is quite a bit of growth going on with one of the largest fabs in the world being built in our service territory by Intel. And obviously, a number of their suppliers are expanding as well. And we're also seeing a couple of data centers coming to our area and then Boeing and other industrial companies are reinvesting in their operation. So we feel pretty good about our outlook.
Neil S. Mehta – Goldman Sachs Group, Inc.: Thanks, Maria.
Jim Piro: Thanks, Neil.
Operator: We'll take our next question from Brian Russo with Ladenburg Thalmann.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Hi, good morning.
Jim Piro: Hi. Good morning, Brian.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Just -- could you elaborate on the $0.10 per share expense item for the 2012 AUT?
Maria Pope: Oh, I think what you are referring to is our deferral of capital in -- is part of the 2011 rate case. We had not completed about $100 million of capital projects. Is that what you're referring to?
Jim Piro: You're talking about the AUT, the AUT?
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Yeah. $12 million pre-tax, $0.10 per share item related to additional expense from the OPUC's adjustment on 2012 Annual Power Cost Update.
Jim Piro: Yeah, that's composed of a number of the items. Maria will give you the detail, but one of those items was there is a $2.6 million adjustment in our AUT filing for 2012. That came about as a very interesting conversation in our filing around the midterm strategy, and how we buy power long term and the Commission went through a very exhaustive investigation of our midterm strategy. And our midterm strategy is how we purchase power both energy, electric energy, as well as natural gas on a long-term basis to reduce the volatility of our customers' prices. We went through a very long discovery process, at the end of the day the Commission agreed that our midterm strategy was prudent, they did find some documentation lacking and some transactions in 2007. And they ultimately decided to give us a small adjustment to reflect the need to do better documentation. That was about a $2.6 million adjustment, that's for 2012, but based on the accounting requirements we've booked that in 2011. There is other numbers included in that and Maria can give you the detail.
Maria Pope: Sure. So the -- a number that you're referring to is $12 million of pre-tax items or about $0.10 a share and these were outside of our power cost adjustment mechanism. And so they directly fell to the bottom line versus affecting the power cost calculations. And they include the amount that Jim mentioned for 2.6 million, as well as under performance in our non-qualified benefit plan trust assets, which is a result of market performance with those investments. We also had some higher benefit costs and incentives and then a couple of other miscellaneous one-time items that are non-reoccurring.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay, so this $0.10 is non-recurring?
Jim Piro: Yes.
Maria Pope: Yes.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: And almost considered one-time and you guys would have earned $2.05 without it?
Maria Pope: Yes. There would have been some adjustments, the PKM also factors in there, but you could essentially say it's one-time piece.
Jim Piro: Yeah. Except for that the piece on the incentives because as we do better, we budget that kind of expected levels and because we don't get full recovery of our incentive and customer prices, that would have still been there on a recurring basis. To the extent we do better than our forecast then there is some additional upside on incentives.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay. And then, just why do you exclude the two large paper manufacturers from your industrial load growth and what would growth be if you include it them?
Jim Piro: Maria, why don't you take that one?
Maria Pope: Sure. The two customers that we're talking about have very large loads. One actually doesn't exist anymore and the other one is also financially troubled and is in Chapter 11. Their uses is very volatile and also we get very little margin from these businesses as it doesn't -- they buy either direct from the market or are not included in our margin. So we would have seen probably about 1.4% load growth instead of the 0.5% that we saw without them.
Jim Piro: So the real key point here is they really just take at the market, we charge them a small margin, they buy opportunistically when prices are low and we just act as essentially a marketing agent for them. And so, they're very volatile in their usage depending on what happens in the paper markets, so we try to exclude them.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Right, I understand. So the 1% to 1.5% load growth you're forecasting for 2012, if you included the two large paper manufacturers the growth would be even higher than that, although the margin impact is minimal.
Maria Pope: Yeah, it actually -- because one of them no longer is operating, it probably would be lower and I think it's very hard to project what's their financial situation.
Jim Piro: For the second one.
Maria Pope: Yeah, for the second.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay, great. You mentioned earlier the $100 million of cost deferrals due to the 10% or below ROE. I guess that implies that you're going to earn below 10% in 12%, I'm just curious kind of in the midpoint of your guidance, does that assume kind of a 9% regulated equity ROE?
Maria Pope: No, what we -- first of all let me just clarify, the $100 million is capital that we've spent that we can pull the revenue requirement in if we are at 10% and below. So the guidance that we have, you're correct it's about a 9% ROE at the midpoint. However, what we are showing is that we normally have a lag between our regulated and our accounting ROE and we've said that that's somewhere in the neighborhood of 1% or so.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay. And what's the tax rate to use for 2012.
Maria Pope: We've historically had a tax rate between about 26% to 30% range. This past year's tax rate was about 28%. So I would use some of the historical averages.
Jim Piro: Yeah. I think the challenge you have there, Brian, you just be aware, a lot of that lower tax rate is due to production tax credits. So on the margin it's closer to 38% or something like that, 37%?
Maria Pope: Probably 35%, and depending on how the wind blows in the production tax credit, our tax remember can jump around a little bit.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay, thank you very much.
Jim Piro: Thanks, Brian.
Operator: We'll go next to James Bellessa with D.A. Davidson & Company.
James L. Bellessa – D.A. Davidson & Company: Good morning.
Jim Piro: Good morning, Jim. How are you doing?
James L. Bellessa – D.A. Davidson & Company: All right. On the tax issue that was just addressed, in the most recent quarter that tax rate was higher than I have expected. You've been running down in the 24% and 29% and then all of a sudden jumps up to almost 36% what caused that fourth quarter jump?
Maria Pope: A lot of that was the production tax credits and if you look at the prior year's tax trends, Jim, they were actually very similar as well. You know a lot of the items that we do -- we target at the end of the year but then we do very thorough true-ups as we get to the end of each year.
James L. Bellessa – D.A. Davidson & Company: Okay. And then you're talking about in your guidance you're assuming normal hydro conditions, but you had one of the best hydro conditions ever this last year 2011. So how much did it add to EPS?
Jim Piro: Well, again, as you know that the hydro as well as our plant operations are going through the PCAM and a PCAM has the earnings test that goes into that and Maria can you give you more detail, but we did have a very good hydro year last year, which resulted in a refund for customers. So the mechanism worked as we expected and so we did get some benefit because we got up to the 11% ROE and a refund for customers. Maria you want to go into particulars.
Maria Pope: Sure. This gets into our sort of our overall outlook for 2012, but as we look at the impact of hydro and then unusually low power prices in the Pacific Northwest due to all the hydro, netting out the refund to customers that Jim mentioned, it was a benefit of about $0.13. We're seeing the additional impact we had from cooler than normal weather, is offset by our expectations of higher loads. And then as I mentioned, we have these deferrals, Jim, which is about positive $0.15 for the coming year. We are projecting flat O&M and compensating for higher pension cost and other healthcare related items with cost savings in each of our operating areas. So that's essentially how you get there.
Jim Piro: Jim, just to give you a perspective, right now we're slightly below normal for hydro forecast this year in the Northwest, but again, it's still relatively early and we can still see some significant moisture and snow even into March. So it's still too early to call how the year is going to play out, but right now we're just slightly below normal across the Northwest.
James L. Bellessa – D.A. Davidson & Company: So, we talked earlier that the $1.95 could have been adjusted up by that $0.10 per share of one-time items, but then we need to subtract out $0.13 for favorable hydro versus normal hydro conditions, would that be fair?
Maria Pope: Yes.
James L. Bellessa – D.A. Davidson & Company: Then, you just mentioned deferrals were $0.15 for 2012, I didn't catch what that was about, would you go through that please?
Maria Pope: Sure. And as part of our last rate case, we had capital projects totaling approximately $100 million. And these four projects were not completed at the time of the case, so we get them into customer prices or the revenue associated with that capital into customer prices, when we're at a 10% ROE or below and we are expecting to be able to include, the majority of that or about $0.15 per share due to that capital spending.
James L. Bellessa – D.A. Davidson & Company: So that's an add in 2012?
Maria Pope: Yes, it is.
James L. Bellessa – D.A. Davidson & Company: Okay. Then deliveries they were touched upon earlier and you said that one of the paper companies was defunct and the other one was not operating efficiently or very often. Was there any adds to deliveries, industrial deliveries during 2011 from those two plants?
Maria Pope: Yes, there was in 2011. If you take them out, as we noted our forecast would have been in total an increase of about 0.5%. And if you include them it was about 1.4%. But as Jim mentioned, they have virtually no impact on margin because they're essentially buying power at market and we're acting as a delivery agent for them and getting just compensated for that.
James L. Bellessa – D.A. Davidson & Company: Now when you talk about the 0.5% excluded, 1.4% included, those are I believe, if I'm catching it correctly, normalized for weather, is that right, the figures that you --?
Maria Pope: Yes, that's correct, yeah.
James L. Bellessa – D.A. Davidson & Company: But when you give out data you don't normalize the data that you give out in actual deliveries, is there any rules of thumbs here?
Maria Pope: If we had -- our total deliveries would have been up 3%, Jim, if you had included weather. And so when we -- our forecasting for 2012, we try and do it on the weather adjusted basis. So it would adjust down for the cooler temperatures in 2011, but we are forecasting increases in 2012.
James L. Bellessa – D.A. Davidson & Company: Okay.
Maria Pope: And those two items offset one another.
James L. Bellessa – D.A. Davidson & Company: And then finally, in the most recent quarter, power cost -- natural gas prices were low, but yet your power cost per megawatt hour went up, you call NVPC, or something like that, I don't have the ability to calculate that exactly. All I do is take your power cost divided by the megawatt hours of production, and I'm coming up with an increase for the quarter that went against my senses that the natural gas prices were going to be down. So can you explain that?
Maria Pope: Your math is correct and we were up just slightly in the fourth quarter and the result -- the reason of that was -- is that the strong hydro started in the fourth quarter of 2010. So it rained a lot and we had the benefit of strong hydro going into the winter season of 2011.
James L. Bellessa – D.A. Davidson & Company: Thank you very much.
Jim Piro: Thanks, Jim.
Operator: We'll take our next question form Sarah Akers with Wells Fargo.
Sarah Akers – Wells Fargo Advisors, LLC: Hey, good morning.
Jim Piro: Good morning, Sarah.
Sarah Akers – Wells Fargo Advisors, LLC: Just a follow-up on some of the cost containment efforts that are benefiting 2012. Can you give us an update on kind of some of the specific initiatives and really kind of whether most of the benefits are flowing in 2012 or should we expect that 2013 will have a benefit there as well. And then also can you just remind us if there are any cost trackers or accounting mechanisms you have in place that you can kind of -- that will help out on the operating expense side?
Jim Piro: So, I'll take the first and then Maria can talk about the second in terms of trackers. In terms of the initiatives we've got going on in the company, we started in the financial area and what we've been doing is, we start with benchmarking and best practices to identify where the opportunities are and then we put in place very specific improvement plans that will reduce the cost of operations, but still deliver high customer satisfaction to our customers. And so, we started in the financial area, we've just completed a new financial system which has significantly improved the efficiency of the work that we do in the finance area and that has produced some cost savings in that area. We're now moving into the T&D area, the transmission and distribution area. We're looking at new technology. We're implementing, what is called, a maximal work management system, mobile and scheduling systems, and really trying to change the way we do work in the T&D area to get better results at lower cost. And that's going to happen probably this year and next. We've also gone through the streamlining of our IT organization, again, based on benchmarking and best practices. And in the human resources area, again, we're moving from a lot of manual processes to using technologies that automate many of those processes, that system won't be complete until later this year which would produce savings in 2013. So a number of projects underway and more to come as we go through the next few years at really sprucing up our technology system to take advantage of those systems and reduce our manual works activity and produce lower cost to do the things we do. So I see a continuing trend in this area. We obviously will still see increases in cost per inflation and other benefits, but we're trying to mitigate that through better performance and lower cost through technology. Maria, do you want to talk a little bit about the tracking?
Maria Pope: Sure. We had requested some trackers for pension in particular in our last rate case, but we don't have any.
Sarah Akers – Wells Fargo Advisors, LLC: Okay, thank you. And then just lastly, has a Chairperson been named to the OPUC?
Jim Piro: No, not at this point. I would mention that Susan Ackerman did get reappointed just recently for another four-year term and Steve Bloom has been appointed also. So we now have a full Commission, but the Chairman at this point has not been appointed.
Sarah Akers – Wells Fargo Advisors, LLC: Great. Thanks guys.
Jim Piro: Thanks. Thanks, Sarah.
Operator: We'll go next to Andrew Weisel with Macquarie Capital.
Andrew Weisel – Macquarie Capital (USA), Inc.: Hi, good morning. Just one more question on the RFP, I know there's been some comments back and forth and a handful of IPPs seem to think that it's still a little bit of home court advantage. I know you have a week or two to file your comments back, but from your preliminary understanding, are these complaints something that may have merit and could further slow down the process, or is it more just a matter of kind of paperwork and filing more data requests?
Jim Piro: My feeling is, I think we've responded to many of the questions that they've raised in the prior capacity RFP. To the extent that we can provide lower cost projects that provide lower cost to our customers, that's really what we want to accomplish in this. And we're not trying to produce high cost projects, we're trying to get low cost. And we're trying to create a process that allows people to bid and compete against our projects to the extent they think they can build something cheaper on our sites, we've now moved in that direction. I think the remaining issue is really around keeping the RFP as competitive as we can, so that anyone bidding on our site does not get information on the cost of our site, so they can't use that against us in the bidding process. So my sense is it's just paperwork at this point, we need to move forward with these RFPs to address the shortfall in capacity and energy. And I think we've designed a process that allows for that and our projects are going to be competitive, we're going to try to keep the cost as low as possible because that benefits our customers.
Andrew Weisel – Macquarie Capital (USA), Inc.: Got it, very good. Okay, then last question you had some comments in the press release about an increasing provision for uncollectable accounts. Can you give a bit more detail on that as far as the magnitude and the outlook? Is that something that's going to kind of be a concern going forward as well?
Jim Piro: Maria, you want to take that one?
Maria Pope: Sure. We have about 0.5% historically and about in our customer prices. We did have one customer go bankrupt and there was a large exposure there. We consider that to be one of our one-time items, then go back to our norm.
Andrew Weisel – Macquarie Capital (USA), Inc.: Great, thanks a lot.
Jim Piro: Thanks, Andrew.
Maria Pope: Thank you.
Operator: We'll go next to Mark Barnett with Morningstar.
Mark Barnett – Morningstar, Inc.: Hi, good morning.
Jim Piro: Good morning, Mark.
Mark Barnett – Morningstar, Inc.: Just one more quick question here. On the flat cost in 2012 versus this year, I know you have a union contract that you are in the middle of negotiating, just wondering if that's already finished and if that's incorporated in your cost projection?
Jim Piro: We have two union contracts, one for some of our -- a couple of our generating plants, that got completed and is in place, and we did agree to an extension on the main contract, a three-year extension, and that got approved and is in place. So both of those have been negotiated and are included in our guidance.
Mark Barnett – Morningstar, Inc.: Okay, thanks for that. And I guess last real quick question, if you do manage to pull in the RFPs for self-build, are you still considering some equity over the next maybe two years and would you still be thinking more along the lines of a forward sale versus just a lump?
Jim Piro: So just generally, I think once we get more visibility on the results of the RFP that will inform us on how we move forward with equity, the exact structure we're going to look at once we have more clarity on the projects, but clearly a forward is one of those types of vehicles that we would consider using as well as other types of vehicles. So we're looking at that right now. And we really got to get to these RFP processes and get a little further on Cascade Crossing, with that information we'll have a lot more visibility on our capital needs, and then we'll try to manage that capital at the lowest cost, lease risk for both our shareholders and our customers.
Mark Barnett – Morningstar, Inc.: Great, understood, thanks.
Jim Piro: Thanks. Thanks Mark.
Operator: (Operator Instructions) We will take a follow-up question from Brian Russo with Ladenburg Thalmann.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Yeah, hi, thank you. Just in terms of any bonus depreciation that's taken -- that has been taken, but not included in the previous rate case, just curious if you have taken bonus depreciation and how that might impact the rate base, when you file your next case say with a 2014 test year.
Jim Piro: Maria, you want to take that.
Maria Pope: Sure. So we have taken bonus depreciations in prior years, but we're currently not anticipating taking any more bonus depreciation and we'll not take any for 2011. The reason for that is we have quite a few tax attributes from our wind farms in particular our production tax credits, and if we were to take more bonus depreciation, we would lose some of the benefit of those production tax credits. And so we are not going to take this accelerated bonus, most recent accelerated bonus depreciation. So we don't have any mismatch with the last rate case we filed.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay, good. So the roughly $3.2 billion of rate base currently is kind of a good clean number to build off of?
Maria Pope: Yes, it is.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay. And then just curious, the recent slump in natural gas and power prices, is there an opportunity for you guys to optimize your generation fleet and possibly have costs that enable you to earn margin in the PCAM and if so is that included in your guidance range?
Jim Piro: Well, in terms of the natural gas, we forecast and buy forward natural gas to fuel our power plants to meet our retail load. To the extent prices move we are always out there trying to optimize our generation plants. Some of that is forecasted in the AUT filing when we run the models to show when those plants are in the money. So it's already somewhat taken advantage of in the model, but there is always changes in the market as we go through the year especially related to the hydro conditions, wind conditions and other things. So I would tell you we're always out there optimizing our plants. But that's really opportunistic and it really depends on market conditions but we really don't really include that kind of opportunity in our forecast. So that's kind of how we look at it.
Brian J. Russo – Ladenburg Thalmann & Company, Inc.: Okay, understood. Thank you.
Jim Piro: Thanks, Brian.
Operator: And we'll take a follow-up from James Bellessa with D.A. Davidson & Company.
James L. Bellessa – D.A. Davidson & Company: Following up on that prior question, there was no bonus depreciation in 2011?
Maria Pope: No, we did not take any for -- we haven't filed our tax return for 2011, but we do not expect to take any bonus depreciation.
James L. Bellessa – D.A. Davidson & Company: And then --
Maria Pope: We have taken it for prior years, Jim.
James L. Bellessa – D.A. Davidson & Company: Okay. And then on Cascade Crossing, Meritor talks about an arrangement with BPA that you're discussing, was PacifiCorp also discussing ownership in this transmission project?
Jim Piro: Yes, we still have a Memorandum of Understanding with PacifiCorp. They do have an interest in a share of the line. That discussion was put on hold during last year because PacifiCorp was working on their Gateway West project and they also needed to find a path from their Gateway West project to Boardman and that's -- they've now entered into discussions with Idaho Power around some type of relationship on the Hemingway to Boardman line. So the extent those two projects get completed, they now are at Boardman, they'd like to move power to Medford, which is the southern part of Oregon and to do that, they would like to use a portion of Cascade Crossing. So we now have restarted the conversations with PacifiCorp to see their interest in participating in that line and entering into a relationship as a potential equity owner.
James L. Bellessa – D.A. Davidson & Company: Thank you.
Jim Piro: Thanks, Jim. In fact, we have no further questions. Thank you all for participating on the call today. We appreciate your interest in Portland General Electric and invite you to join us when we report on first quarter 2012 results. Thank you again.
Operator: And this does conclude today's conference. We thank you for your participation.